Operator: Good day, and welcome to the Quarter 4 2013 TESSCO Technologies Incorporated Earnings Conference Call. My name is Julie Anne, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. And I'd like to turn the call over to Harriet Fried of LHA. Please proceed, ma'am.
Harriet C. Fried: Good morning, and thank you for joining TESSCO's conference call. With us today from management are Robert Barnhill, Chairman and Chief Executive Officer; and Aric Spitulnik, Vice President, Principal Accounting Officer and Controller. Management's discussions this morning will contain forward-looking statements about anticipated results and future prospects. Forward-looking statements involve a number of risks and uncertainties, and TESSCO's results may differ materially from those discussed today. Information concerning factors that may cause such a difference can be found in TESSCO's public disclosure, including the company's most recent Form 10-K and other periodic reports filed with the Securities and Exchange Commission. To supplement the company's consolidated financial statements, the company is using certain non-GAAP financial measures in today's conference call. A reconciliation of these financial measures to GAAP is attached to the company's press release. With that introduction, I would like to turn the call over to Mr. Barnhill. Please go ahead, Bob.
Robert B. Barnhill: Thank you, Harriet, and good morning, everyone. Well, TESSCO closed fiscal year '13 with another record performance. For the fifth consecutive year, we achieved record earnings of $2.15 per share. This was an important year to us as we completed the successful transition out of our high-revenue but low-margin third-party logistics business with one Tier 1 carrier that we've been discussing over the past months and quarters. We're left with a strong relationship with this customer. We've got present and existing and future opportunities. And there was no end-of-contract transition expenses that Aric will be elaborating on a little bit. And then we're left with the ability to exclusively focus on our core business and building on the many opportunities that are materializing in the convergence of wireless and the Internet. Going forward, our business will be strategically healthier with higher margins, low customer concentration where no one customer is currently expected to contribute more than 5% of revenues. This has been a huge step forward from where we've been. In fiscal year '13, we grew our core business by 12%, and we generated this growth primarily by expanding the purchases of our existing customers. For 2014, our goal is to achieve accelerated, sustainable and profitable growth, focusing on 3 growth pillars, which I'll just highlight. First, we want to expand our customer base in our monthly purchases. We want to win new customers in both existing and new markets, and we want to cause the existing customers to buy for TESSCO on a monthly basis. Second, we want to increase customers' purchases through category share, cross-sell, which is selling more... [Audio Gap] Offered and new systems supported. And the third pillar, while we achieve the profitable growth, we're not only going to -- while we achieve the top line growth, we're not only going to be increasing the purchases, but we want to focus on enhancing margins and return on assets. Our 5 areas of improving this margin enhancement are sales and marketing productivity; the experience and statistically based pricing strategy system that we're -- we've developed and are enhancing; the Ventev proprietary products, which I'll touch on in just a minute; landed product cost; and overall operating productivity. At the center of driving these 3 pillars is the expansion of our Internet database marketing system. This is a system which will be the definitive source of solution and product knowledge for our customers. We'll develop a preference-based customer database to allow us to have contextual one-on-one personal and electronic conversations with our prospects and customers, allow customers to create a personalized experience by defining their roles, preferences and privileges. And the result, we'll be attracting new customers; we'll encourage customers to use TESSCO as their total source to build, use and maintain their wireless systems; and we'll make it more productive for the customer as well as for TESSCO to gain pricing, availability, confirmation, place and track orders. So let me give you some examples of just -- I want to just highlight some of the successes that we've enjoyed this past year, all of which make us optimistic about fiscal year '14 and beyond. Public network operators, which are a big piece of our business, we've responded to the unique needs of the carriers by deploying fiber to the antenna solutions for the LTL builds. We've developed multiple configurations that solve the challenges of fiber to the antenna, offering unique hybrids, combination of fiber and power cabling. For value-added resellers, we responded to their customers' needs to support the demands of having wireless coverage and capacity anywhere, whether it be in buildings or whether it be in sporting arenas. And this is using the distributed antenna systems better known as DAS in the industry. Government customers naturally are looking at surveillance and motion detector, to systems which are now very integral, and we find that the federal, state and local government customers value our expertise in wireless design and configuration to provide the complete solution to meet their needs. The private systems operators is where we expect to see continued and accelerated growth. We found ourselves as being the primary supplier of WiFi infrastructure, which are the antennas, enclosures and cable, for WiFi deployment on board cruise ships. Then while this segment is important, there's also a huge opportunity in the travel, hospitality and other transportation segments. You'll hear in a minute that our Ventev proprietary products are very focused on these segments. The retail market continues to be face paced and somewhat even chaotic as the new devices push the limits of the existing network. So with this proliferation of products, retailers are turning to TESSCO to help them build the right offer, assuring the in-store availability and maximizing sell-through and profitability. And again, our Ventev power solutions are really a keystone to a lot of the things we're going to be doing in the retail and in the commercial markets. So let me highlight some of the Ventev proprietary product successes, remembering that we offer and sell Ventev as a part of the total TESSCO solution, along with products from our other 300-plus manufacturers. And we divide Ventev up. And as far as we look, there's 2 sides. There's one, the wireless infrastructure products and then the mobile accessory products. So if you look at the mobile infrastructure, we're seeing success with major freight and delivery companies, where the -- our outdoor Omni antennas and closures are being used for their worldwide outdoor and warehouse WiFi deployments, cruise ships that I mentioned. Carrier WiFi services. We're providing carriers with the enclosure systems for stadium WiFi offloads to ballpark attendees, antennas for airport terminal WiFi access. And then we recently developed a product which is a self-contained turnkey temporary venue WiFi hot stuff -- spot. So whether it be marathons or sporting events where they can deploy it where it's a temporary venue. Electronic utilities. We're providing the integrated solar power systems for RF backhaul and battery backhaul. We've got an exciting deployment in Hawaii where we're allowing data transmission across the volcanic mountains in the Hawaiian islands. And then lastly, on the wireless infrastructure, theme parks. We just won a major total -- what we call the ecosystem supporting Cisco radios, which included the enclosures, antennas, cable assembly, mounting hardware and the lightning arrestors. So a lot of exciting things in the wireless infrastructure Ventev products. Mobile devices, which are for retail as well as enterprise, here we're looking at cable, the charging and power. Cables, we're the first to bring a flat, tangle-free cable to the market, multiple colors, all the connectors, including Apple's Lightning. Chargers, wall and vehicle, giving the right charge for the right device or multiple devices. We have portable battery chargers, charging cases and, in addition, the protection cases and headsets. So as Ventev develops products for the unmet customer needs, we find it's obvious that we would expect Ventev to be a major contributor to our goals as we go forward. So -- and I'll turn it over to Aric in just a minute, but our conference -- or confidence in our ability to grow our core business is very high, as illustrated by the earnings guidance we're providing for this coming year. This is a range of $1.75 to $2.05, and remembering that this is without any lift from the $215 million of revenue that we've now transitioned out in our 3PL business. I'm also pleased to announce that our $0.18 dividend will be paid on June 6 to records -- to the holders of record on May 22, and I'd also like just to remind you that our regular dividend we've been paying is in addition to the special cash dividend of $0.75 we paid in December. So with that, I'll turn it over to Aric to give you the details of the financials.
Aric M. Spitulnik: Thanks, Bob, and good morning, everyone. We're extremely pleased with the finish to another fantastic year, one in which we achieved record revenues for the fourth consecutive year and record earnings for the fifth consecutive year. Before we discuss the results, I wanted to reaffirm that the major 3PL relationship was fully transitioned during the fourth quarter. We obviously saw some impact from that during the quarter with 3PL revenues down $50 million and gross profit down $6 million from last year's fourth quarter. However, we were able to grow the core revenues by 11% during the quarter to largely offset the 3PL decline. The 3PL transition itself went flawlessly. We were able to exit a $200 million business with only minimal product write-offs and no accounts receivable write-offs. Also, because we have designed the model to be entirely variable, we have -- we'll have no people count reductions. Our team members who are dedicated to this relationship, who, by the way, are some of our best and brightest, have now been redeployed into our core business. So let's talk about the fourth quarter in a little more detail. Revenues for the quarter were $158 million. Overall, that's a 19% decline. But as I said, our core revenues were up 11%. The gross profit from those core customers were up about 8%, so we did see some small gross profit or gross margin erosion, mostly driven by product mix. And as I mentioned, we saw the major declines in the 3PL relationship with revenues down 65% and gross profit down 79%. The combination of the large decline in the 3PL relationship, partially offset by the strong core gross profit growth, resulted in overall gross profit decline of about 11%. SG&A was down 10%, though, primarily a result of lower marketing expenses associated with the 3PL business and a lower pay-for-performance bonus accrual. Accordingly, our Q4 operating income was down just under $1 million compared to last year's fourth quarter, and our operating margins were flat. EPS was $0.35. EBITDA reached $6 million or $0.73 per share. Those compared to EPS of $0.43 and EBITDA of $7 million, or 85%, in last year's fourth quarter. So let's spend a little bit of time on the segments. So we'll start with Commercial. Commercial revenues and gross profits were up 15% over last year's fourth quarter. We continue to be very proud of the results we see we've been driving in the public carrier, contractor and program manager market as we continue our strategy of increasing our involvement in the system build-outs that are going on right now. While we do see increased activity in the market, we are also winning a higher market share. Revenues in this market grew by 93% and gross profit by 77%. We continue to see solid growth in the commercial dealers and reseller market with 7% revenue growth. The private and government system operator market posted a 17% revenue decline. While we see tremendous opportunity in this market, we've not had as many wins here as we did last year. So as the Commercial segment overall, an 8% gross profit growth combined with a 2% expense reduction resulted in segment gross profit of $14 million, up about 17%. In the retail market, of course we have to look at that in 2 pieces, the core business and the 3PL relationship. So for the core market, core retail market, revenues and gross profits increased by 4% and 6%, respectively. So we continue to be -- to see -- be very strong serving the independent carrier agents and other retailers with exceptional customer service and high value add. As I mentioned, we completed the transition of a 3PL relationship and, therefore, experienced those significant declines in revenue and gross profit in the retail market. Direct expenses in the segment were down 26% mostly due to the variable expenses associated with that 3PL business. Overall, the Retail segment net profit contribution totaled about $4 million, which was a 51% decline. We used just under $5 million -- or we generated just under $5 million of cash from operations during the quarter and ended the quarter with $4.5 million in cash with no outstanding balance on our $35 million revolver credit facility. AR inventory and APL [ph] came down significantly this quarter as compared to the third quarter as a result of the 3PL transition. We do believe we'll still see a small benefit in net cash from the collection of the final receivables and the payment of the final payables left on our books at year end from that 3PL relationship. As Bob mentioned, we did announce another dividend, $0.18. They'll be paid on June 6 to shareholders of record on May 22. And again, as Bob mentioned, we've set our earnings guidance at $1.75 to $2.05 for fiscal year 2014. While -- we see some significant decline in revenues from the 3PL, which was $215 million last year. However, we do feel that we can continue the nice core growth that we've seen this year into next year. We think this was a very good quarter, especially in the Commercial segment. And while we did have some 3PL -- while we did still have some 3PL revenues and gross profit this quarter, it was essentially the beginning of our post-3PL world. Given our momentum in the core business and our strong balance sheet, we believe we are very well positioned as we look ahead into fiscal 2014. Thank you. And operator, we can now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Anil Doradla, William Blair.
Brian Nugent: It's Brian Nugent in for Anil. So first, I just wanted to kind of dive into what the business is going to look like without the 3PL now it's out of the way. So can you share with us any of your near- and long-term margin targets for fiscal '14? It looks like you can get back into the 4%-plus range. I just want to know if that's consistent with the guidance that you provided. And then longer term, do you feel like you can work your way back up to a 5%-plus operating margin consistently over time?
Aric M. Spitulnik: Yes. For next year, we -- we'll definitely see a significant gross profit increase. Operating margins will -- should come up a little bit. They're not going to go up quite as much as the gross profit, well, just because the 3PL relationship didn't have a lot of expense associated with it. A lot of that was up in gross profit. So you're not going to see a lot of expense coming out, and you're going to have a significant decrease in the revenues. So we do expect to -- an increase in the operating margin may not be as significant as the gross profit margin. Heading into the future, I don't think 5% is reasonable for this coming year. But as we look out a couple of years from now, yes, I do think that's possible -- very possible as we continue to grow this core business. A lot of it is going to depend on product mix and where those -- that goes. And so it's a little bit difficult for us to pinpoint where the next growth area is going to be for us 2, 3 years out. But definitely a possibility. From an operating leverage standpoint, I think we're really well positioned to do that. It's just a matter of what products are we selling and what margins are we getting from this.
Robert B. Barnhill: And also Brian, as we've got considerable operating leverage as we go forward, as we increase that top line and the gross profit line that Aric's referring to, the fixed expenses will not increase. We -- really the only expenses are the marketing and the technology and sales talent as we go forward.
Brian Nugent: And then on seasonality, I know without the 3PL business it'll look obviously different in the first quarter. But from there, are you expecting more muted seasonality again in the second half of fiscal '14? And just how we should think about that longer term?
Aric M. Spitulnik: Yes, I think that typically, our second and third quarters are our stronger quarters, and I don't think that'll change. You may not see quite as big a spike in the third quarter this year without the 3PL. The fourth quarter's traditionally been a little bit lighter for us. Actually, the Commercial business this quarter was pretty strong compared to the third quarter. So we may see that not as big of an issue at it's been. But yes, we still would expect the second and third quarters to be our biggest quarters next year.
Brian Nugent: And then proprietary products, you mentioned that's a key focus area. Can you give us a sense of what -- out of the core business, how much of that was proprietary? And basically, I'm just trying to get a sense of where your proprietary business can be as a percentage of sales as we're getting toward the end of fiscal '14.
Aric M. Spitulnik: Yes, this year, in FY '13, it was 11% of the core business and about 8% of the total business. It's about flat from the year before, so we definitely have some -- much more aggressive goals for FY '14 to really grow that Ventev business. So we don't have an exact number to -- for that there, but it's definitely going to be a -- we're definitely aiming for a significant increase from that 11% of the core business.
Brian Nugent: Fair enough. And then last quarter, we talked about the carrier revenue being grow -- driven by 4G builds, and I assume that was the case this quarter in terms of year-over-year growth. And then I understand that market is probably stable or improving, but it doesn't seem robust to me. So I just wanted to get a better indication of where you're seeing the growth. Is it -- are you getting a larger content opportunity in 4G versus 3G, 2G? Or is it really just simply market share gains? And what will be driving those share gains?
Robert B. Barnhill: I think it's really both. It's -- I highlighted that we're seeing a lot of success with the fiber-to-the-tower solution. This is where they actually put the radio head on the top of the tower and run fiber, which is a lot less costly and lighter wind loads and weight loads on the antenna -- or on the tower. We're seeing that. We've had good success with the LTL build-outs, with the contractors, the program managers. So it is a combination as there is some lift. There's a lot of pent-up demand out there as far as getting the broadband coverage that consumers are demanding. But it's also we're doing a better job as far as getting our share of that business.
Aric M. Spitulnik: Yes, we -- one of the numbers we track is dollars per each of our buyers, and that's up about 19% this year. And a lot of that is being driven by what's going on in the public carrier space. Those carriers and contractors are really -- we definitely achieved a bigger market share with those carriers and contractors.
Brian Nugent: Is 19% for the whole business? Or just [indiscernible]?
Robert B. Barnhill: Yes, it's up 19%.
Aric M. Spitulnik: Yes, it's up 19% overall.
Brian Nugent: Wow, all right. And then in terms of margins for the core business, I know you're mostly looking at year-over-year comparisons, but I did notice most of them were up sequentially. Is there anything unusual in terms of the favorability of the mix? And are we stable from here? Or are there any levers to increase gross margin in the core business?
Robert B. Barnhill: Yes, I mean, first of all, this pricing system is just really emerging of where we can -- we measure on a continued basis the price sensitivity of various items by various customer types. We're able to adjust prices. We've done -- I feel that this past year, there was a lot of price pressure, but we maintained margins in every product category. I think that there's going to be a positive effect going forward in terms of the margin as we look at each product category but recognizing, as Aric said, there's a big swing in terms of the mix of product we sell. I mean, the broadband radios, for example, and test equipment have a much less margin structure than maybe accessories or antennas or some of the cables. So as we get more successful in selling the active components, you'll see the margins come down a little bit, the overall margins. But again, the margins within each category will remain strong.
Aric M. Spitulnik: Yes, I think so one of the drivers of the margin this year has just been the strength of our value proposition, that people are willing to work with us and pay a little bit higher margins than some of the others because we offer such good value, overall value and have the inventory on hand and can do an entire solution. So people are willing to pay for that. They recognize the value.
Robert B. Barnhill: Yes, that's great. And that's with the carriers in particular. I mean, we're delivering to the job site, not to a warehouse. And so it can go to immediate use and doesn't go into inventory. And we do the same thing for resellers, is that we sell them what they need when they need it rather than getting people to stock up. So in this economy, it continues that people want to reduce their inventory, reduce their total cost. And that is our value prop.
Operator: Your next question comes from the line of George Prince, RBC.
George Prince - RBC Funds Trust - RBC Enterprise Fund: If I just kind of take a big picture view here, I think we can argue that the company is in better position than it's ever been. You're more diversified, you don't have the big customer concentration and you're growing the business. If I want to look out 1 to 3 years, big picture, am I -- are we looking at maybe 8% to 13% top line growth and the margins kind of drifting higher as we go? And maybe occasionally you get a great, lumpy positive quarter or 2 or maybe pick up a new business that helps? Is that what we're looking at?
Robert B. Barnhill: Well, I mean, obviously, we're not guiding to that. But as far as the -- our expectation is certainly be in that area as far as top line growth. And as I mentioned before, it's -- we will see great operating leverages as we get that growth and we kind of get beyond this filling the hole, if you will, for the loss of the 3PL margin business. I mean, it was a contributor to profits even though a small contributor. But we -- again, once we get beyond that filling in that gap, then you'll really start to see some operating leverage that should drive the bottom line margins.
Operator: You have no questions at this time. [Operator Instructions] Your next question comes from the line of Bentley Offutt, Offutt Securities.
R. Bentley Offutt - Offutt Securities, Inc.: I have -- I guess, my reaction, number one -- I have 2 reactions. Number one, I think the year overall, although you were able to show a record year, there's got to be [indiscernible] in several areas, I would think, number one . Perhaps my greatest concern is your Ventev operation, which, as you indicated, was flat year-over-year. There are some important opportunities ahead, and we haven't discussed those. And perhaps you want to shed some light on your Positive Train Control and what you're doing with the rail industry. I guess that's the first question.
Robert B. Barnhill: Yes, well, Positive Train Control is a great question. We're still very excited about the future prospects. Again, this is the program that we did in conjunction with GE for this -- the air traffic control system for railroads, so to speak. And it's still in the pilot stage. The railroads continue to lobby Congress for extension. We're a part of these pilot stages that we're providing both to towers and the base station infrastructure. We also see a significant surge in the integration of the locomotives. So I believe that it's certainly not there yet. It's spotty, but it will happen and we will be a major player with the -- them. I do -- that relationship and that product, we developed those. We are taking into -- one railroad is bringing that product in for some of their just conventional signaling and communications. We're looking at security companies. So it's -- that's going to be a good business, but it's a question of when that business comes. I think your question as far as Ventev in general, we did some major reshaping, restructuring, both on the accessory side as well as in the infrastructure side. We were coming off of a very strong year last year where we had some huge wins that we didn't replace those wins this past year. But just as I reiterated with all the various things we have, now the challenge is to leverage those opportunities. We talked about a theme park, okay? That's one theme park. Well, how many theme parks are there out there? We talked about a cruise ship. How many cruise ships are there out there? This -- a lot that we're having or this opportunities that we're generating with these movable venues is going to be very big in terms of as we go forward. So we've got a great, great foundation, and now it's a question of getting out there, gaining the customer and showing them what we can do with the Ventev solutions.
R. Bentley Offutt - Offutt Securities, Inc.: Now as far as Positive Train Control, that has to be pretty well completed as far as the rails are concerned. Nothing against it, but it's supposed to be completed by December 2015. So that's a couple of years out.
Robert B. Barnhill: Right, yes. That's why they're all testing it. They've got these test systems in place, but they are dragging their feet because it's a huge non-revenue generating expense for the railroads. I mean, just to give you an example, I mean, there's still this huge controversy with the radio that you're putting in, this 220-megahertz spectrum radio. And the group -- there's a group that's been formed that's concerned that, that particular radio doesn't possess enough spectrum for all the Positive Train Control access. And so the railroads are sponsoring studies to analyze the spectrum requirements and capacities. And so that's just another. You got one dragging their feet and then they don't feel that they've got the right radio. So again, it's still a mandate with the Federal Government. It's been delayed. There will be great business, but right now, it's just kind of breadcrumbs as we get these pilot sites.
R. Bentley Offutt - Offutt Securities, Inc.: Do you have any idea how large a business this could be?
Robert B. Barnhill: Well, you're looking at 14,000 sites. It's estimated that probably we'd have an opportunity for -- the billable market would be about 50 and -- 50%. And our price of that unit is about $20,000 to $25,000.
R. Bentley Offutt - Offutt Securities, Inc.: Is that your price? Or is that the GE...
Robert B. Barnhill: Now that's our price.
R. Bentley Offutt - Offutt Securities, Inc.: Yes. That's a pretty large market.
Robert B. Barnhill: Yes. Yes, bring it on. We're ready. We're ready. And it's one of those things, too, that we've been talking about it a long time, and it's very frustrating that we can't be ringing it up on the scoreboard.
R. Bentley Offutt - Offutt Securities, Inc.: Well, I'm very familiar with the problem, and I -- since I follow Westinghouse Air Brake. But going on to the other question I had, that relates to the year-over-year growth that you see for each of your cycles [ph]. If you look at those two, [ph] you had one area -- the public carrier is 92%, but the rest of your business is flat to down. And maybe you can talk a little bit further about that, what you look for this year.
Aric M. Spitulnik: This year, I think -- I mean, 2014, I think we're -- we think the public carrier space will continue to be really strong for the whole year. The VAR market, which did show some decent growth this year, about 10% growth.
R. Bentley Offutt - Offutt Securities, Inc.: For which market?
Aric M. Spitulnik: The -- I'm sorry, the commercial dealers and retailers. So that had some solid growth for year-over-year, for the entire year. About 10% growth there. It's almost 11%.
R. Bentley Offutt - Offutt Securities, Inc.: Okay. What -- so you said great growth. For public carriers, is great growth 15%?
Aric M. Spitulnik: We're not putting it in terms of exactly what the percentages might be, but it's not going to be 50% like it is this year. But we do think it will continue to be very strong and we'll -- should see some very solid growth into next year. And with regards to the estimates of private and government systems market, which was down for us this year, we think that's the market that we really will see a huge rebound in. That's where a ton of opportunity is, and we've been really focused in the second half of the year on driving toward those opportunities. And I think we're well positioned to do that and really show some solid growth in that area.
Robert B. Barnhill: But Bentley, you're right, is that the private systems market was a disappointment to us given we're coming off some big comps in the previous year, but that's no excuse for not showing the growth this year. The I marketing system, the Internet marketing system I talked about is very integral because here, you see, we're getting into the enterprise, we're getting into new opportunities, the cruise ships, the -- and we need this web attraction engine to find the customers that have new opportunities so we can go in and sell. So we do -- this is a huge market. This again is a big trend in the industry of where people are building their own systems, whether it be the wireless backhaul system, the point-to-point, point-to-multi-point, the end building systems. So it's a major expectation for us in this coming year.
R. Bentley Offutt - Offutt Securities, Inc.: And do you -- in the private -- in this particular private and government system groups, have you hired any senior management in this area to beef up support going into the future?
Robert B. Barnhill: Yes, and we've some experienced sales talent that's going in because you're right, I mean, here we're talking about utilities, we're talking about railroads, enterprise in general. So it takes a -- as does all of our markets, but we have to -- it's a new area for us, relatively new, and so we definitely have to staff into that with senior talent.
Operator: Our next question comes from the line of Steve Shaw, Sidoti & Company.
Steve Shaw - Sidoti & Company, LLC: I was just wondering how the new chargers were doing if they were gaining traction or contributed anything in the quarter. And also, I believe there was a new website you guys were rolling out to sell products directly, if that -- I want to know if that was up and running.
Robert B. Barnhill: Yes, the power or the new chargers have received just great acceptance. Our sales to date have been more trial sales into the stores, the first load, getting the stores in with product. And now, we're waiting for the sell-through and where people really look -- really recognize the power of that particular -- no pun intended, but the strength of those chargers. The -- as far as the website is concerned, we've got the development right now, and this is where both Ventev as well as tessco.com will have a new system that will have a much stronger database management, content management system. And then for Ventev, we will have, for the accessories, a business-to-consumer shopping experience that we don't have presently, but we're expecting that to roll out mid-summer.
Operator: You have no questions at this time. I would now like to turn the call over to Robert Barnhill for closing remarks.
Robert B. Barnhill: Good, thank you. Thank you for joining us today, and I really appreciate the opportunity to go over your results and, more importantly, answer your questions. Hopefully, the information that we shared with you today demonstrates how we are well positioned in this industry and how we can be the total source of everything required for building, using and maintaining wireless systems. So I thank -- I really want to take an opportunity to thank our customers and thank our manufacturers and our team members and you, our shareowners, for the continued support in another record-setting year. And we look forward to what promises to be a very exciting fiscal year '14. So thanks again for joining us, and we look forward to talking to you next quarter when we can show you the -- how the promise of our core business is really, really tracking. So thank you, and have a great day.